Operator: Good day ladies and gentlemen and welcome to the Mammoth Energy Services Third Quarter 2018 Earnings Conference Call. At this time all participants are in a listen-only mode. Later we will conduct a question and answer session and instructions will follow at that time. As a reminder this conference call is being recorded and will be available for a replay on the Mammoth Energy Services website. I would now like to introduce your host for today's conference Mr. Don Crist, Mammoth Energy Services Director of Investor Relations. Sir you may begin.
Don Crist: Good morning and welcome to Mammoth Energy Services third quarter 2018 earnings conference call. Joining me on today's call are Arty Straehla, Chief Executive officer and Mark Layton, Chief Financial Officer. Before I turn the call over to them I'd like to read our Safe Harbor Statement. Some of our comments today may include forward-looking statements reflecting Mammoth Energy Services views about future events. These matters involve risks and uncertainties that could cause our actual results to materially differ from our forward-looking statements. These risks are discussed in Mammoth Energy Services Form 10-K, form 10-Q and current reports on Form 8-K and other Securities and Exchange Commission filings. We undertake no obligation to revise or update publicly any forward-looking statements for any reason. Our comments today may also include non-GAAP financial measures. Additional details and reconciliations to the most directly comparable GAAP financial measures are included in our third quarter press release which can be found on our website along with our updated presentation. Now I'd like to turn the call over to Arty.
Arty Straehla: Thank you Don and good morning everyone. The third quarter of 2018 marks two years as a public company for Mammoth and a quarter in which we reported record net income of $70 million or $1.54 per share, 45% higher than consensus estimates. We were able to generate reported adjusted EBITDA of $184 million were comparable EBITDA of $114 million excluding the reversal of bad debt expense versus consensus estimates of $110 million on $384 million of revenue. Well, Mark will elaborate further on our financial performance in his comments I wanted to point out a few key highlights. Cobra continues to perform exceptionally well. Similarly our oilfield service teams excelled in despite the current softness in the market maintained utilization during the period. From a portfolio perspective our third quarter results again underscore our differentiation from many of the oilfield services companies we are compared to. Following our rapid oilfield expansion in 2017 we deliberately chose to transition our asset base from a pure oilfield service company to diversified industrial company. We are attracted to the reduced cyclicality, stable cash flows and contracted nature into which we feel we can effectively deploy our cash flow. This transition to an industrial company can clearly be seen in our financial results with 64% of our revenues over the past 12 months coming from our infrastructure segment. Our M&A focus remains on the industrial side of our business. We should push the percentage of industrial revenues even higher if we are able to find attractive opportunities. We remain acquisition focused and are currently evaluating approximately 25 transactions some of which provide services that are in high demand due to bottlenecks in the current oilfield and infrastructure service space and are expected to have rapid paybacks. In addition we are evaluating several opportunities that tie to our interest to further expand our industrial presence and could provide stable cash flows in the years to come. As our history has shown we intend to remain disciplined in the deployment of capital choosing only the transactions that are projected to meet or exceed or hurdle rates. Now let me give you an update on our current operations starting with the infrastructure division. The infrastructure division continues to perform at a high level in all of our reporting areas and exceed our expectations. Our team has been in Puerto Rico for just about a year and continues to work closely with PREPA and other governmental agencies to improve the resiliency of the energy infrastructure network in Puerto Rico. The task of reconstructing parts of the electrical grid to both harden it and provide better protection from future storms has begun. While the power has been restored to the island, the fragility of the system remains. As we have stated in the past the reconstruction process in Puerto Rico is just beginning with significant front-end engineering required prior to reconstruction of electrical utility grid. As PREPA plan shows we anticipate a ramp up in reconstruction projects through 2019 with work to continue for the next five to seven years. Staffing levels in Puerto Rico will have fluctuated between 500 and 600 people over the past 60 days. In the continental United States our teams have been actively working for multiple investor owned utilities and responded to the call for mutual aid following Hurricane Florence on the eastern seaboard and Hurricane Michael on the Gulf coast. We remain in discussions with several large investor owned utilities to expand our operating footprint and build our backlog in all of our operating areas. The infrastructure divisions total backlog is approximately $1.2 billion at the end of the third quarter. The breakdown of the backlog includes approximately $700 million remaining in Puerto Rico associated with the existing contract and approximately $520 million in the continental United States. We continue to work in the Northeast, Southwest and Midwest portions of the United States and in Puerto Rico for private, public, investor owned, and cooperative utilities. From an oilfield service perspective the third quarter was challenging with E&P budget exhaustion leading to some weakness in both pressure pumping and sand demand late in the quarter. Discussions with existing and potential pressure pumping customers are ongoing with demand expected to pick up in early 2019 once E&P budgets are reset. We pumped 1594 stages during the third quarter of 2018 with our EBITDA margins for our pressure pumping division coming in at approximately 17%. We currently have three of our fleets in the North East and three in the midcontinent. Turning to sand. Due to weakness in the pricing late in the third quarter we elected to temporarily idle Muskie which is a higher cost facility. Our Taylor and Piranha facilities remain active. The team has worked very hard on efficiencies at both Piranha and Taylor with production costs falling faster than originally forecast. When operating at full capacity these mines have production costs in the $10 to $12 per ton range which puts them in the top quintile of the industry. We sold approximately 600,000 tons of sand during the third quarter of 2018 of which 17% was brokered. The average sales price for sand sold during the third quarter of 2018 was $37.88 per ton. Our blended third quarter production cost came in at approximately 1450 per ton in line with our projections allowing us to support EBITDA per ton of just over $23. The temporary idling of our Muskie facility is expected to reduce our average production cost by 5% when compared to our third quarter production cost to approximately $13.75 per ton during the fourth quarter of 2018. As a reminder we reserve approximately half of our 4.4 million tonnes per annum processing capacity to ensure that our pressure pumping companies do not run out of sand. We have another 1.3 million tonnes or 30% under long-term take or pay contracts across multiple grades. Two of the three contracts in place are three-year take-or-pay agreement which run through late 2020. The third contract which we recently renewed with Gulfport Energy runs through 2021. The crude transportation business which we acquired during the second quarter has seen strong demand with 44 trucks in the fleet today which is more than double from where we started. Inbound calls from both existing and new customers remain strong and we anticipate growing our crude logistics business throughout the end of the year. Before passing the call to Mark let me sum up Mammoth’s transition over the past years in this way. The transition that Mammoth has undergone over the past year to shift to a broader industrial focus has been delivered which can clearly be seen in our financial results. Today we have a debt-free balance sheet and free cash flow expectations for the remainder of 2018 and throughout 2019. Given our acquisitive nature in areas that further our transition away from the highly cyclical oilfield sector we expect a further differentiation in the future. We will remain disciplined, patient and exclusively focused on opportunities that meet or exceed our targeted thresholds. Let me turn the call over to Mark to take you through the financial performance during the third four of 2018 after which we will take questions.
Mark Layton: Thank you Arty. And good morning everyone. I hope that all of you have had a chance to read our press release. So I will keep my financial comments brief and focus on certain highlights. Mammoth's revenue during the third quarter of 2018 came in at $384 million down 34% from the second quarter of 2018. The reduction of activity in Puerto Rico in our infrastructure segment and a slowdown in the oilfield completions market contributed to the lower revenue compared to the prior period. Net income for the third quarter of 2018 came in at $70 million up 62% from the second quarter of 2018. On a per share basis net income came in at $1.54 per share. Increased focus on costs and reversal of amounts previously reserved as bad debt expense contributed to the increase compared to the prior period. Adjusted EBITDA for the third quarter of 2018 came in at $184 million, up approximately 24% from the second quarter of 2018. Excluding the reversal of bad debt expense EBITDA came in at $114 million which was directly comparable to consensus estimates of $110 million. Our corporate adjusted EBITDA margin was 48% during the third quarter or 30% excluding the bad debt expense reversal as compared to 28% in the second quarter of 2018. Selling, general, and administrative expenses, adjusted for the reversal of bad debt expense and equity based compensation came in at $23 million or 6% of revenues during the third quarter of 2018 and $20 million in the second quarter of 2018. CapEx during the third quarter of 2018 was approximately $41 million, the majority of which was related to the organic growth of our infrastructure segment in the continental United States and the expansion of our trucking and rental fleet and the midcontinent region. Our 2018 CapEx plan remains at $205 million. At this time we project our CapEx to be fully funded through internally generated cash flows. On October 17, 2018 Mammoth entered into an amended and restated five-year $185 million credit facility. This credit facility amended our existing $170 million credit facility which was set to expire in late 2019. As of September 30, 2018 we had no borrowings under our credit facility and it remains completely under on today. Based on our current CapEx budget and cash flow outlook we anticipate building cash throughout the balance of 2018. On October 29, 2018 our board of directors declared a quarterly cash dividend of $12.5 per share of common stock to be paid on November 15, 2018 to stockholders of record as of the close of business on November 8, 2018. This dividend reinforces our commitment to a balanced shareholder return. We thank our shareholders for their support. This concludes our prepared remarks and we thank you for your time and attention. We will now open the call for questions.
Operator: [Operator Instructions] Your first question comes from the line of Tommy Moll from Stephens. Please go ahead.
Tommy Moll: Good morning. Thank you for taking my questions.
Arty Straehla: Morning Tommy.
Tommy Moll: Arty, I wanted to start on Puerto Rico. You mentioned in recent weeks and months the head count down there has been in the 500 to 600 range. Is that the right range for us to think about for the fourth quarter? And can you give us any visibility on the pace and the magnitude of the ramp and head count as we get into next year? For those of us who are a little bit less familiar with the process if you could give any context on the front end engineering piece? That would be helpful as well and also any visibility to when the next RFP process might kick off?
Arty Straehla: Sure Tommy. We will certainly address that. Let me say that the front-end engineering is probably the long pole in the tent of getting that done for the reconstruction aspect of the business. We, as we stated in our press release were between 500 and 600 people. We think additional RFPs would be [let] as that plan starts to come probably in the first quarter. We have good visibility of the $900 million reconstruction contract that was signed in May 29 to go through that year and then we think additional bids will be coming early in Q1, early to mid Q1 as engineering starts to get done. So we look for the ramp to probably follow that. We probably stays pretty stable with our headcount right now for your modeling purposes between 500 and 600 people and then we would see a specific ramp as more projects become weld upon. Obviously this is a partnership between us and PREPA and we're both working hard to it. We have an engineering group down there that is working and we are trying to get those projects approved as quickly as possible.
Tommy Moll: Okay. Thank you Arty. One on sand. Obviously there have been some macro headwinds pressuring that business yours as well as everyone else's in the recent months. One of the positive items for you guys it's been the ability to cut costs even faster than expected. Can you walk us through how you're responding to the challenges in that business and specifically on the cost side what some of the levers have been there? Thank you.
Arty Straehla: Sure Tommy. When we first saw the market starting to soften a little bit we pulled back our high-cost facility. We temporarily shut it down for a period of time until we see the rebounding activity. So that as we said in the prepared notes that took about 5% off our cost structure because it was a higher cost facility. So with the team has done an excellent job of reducing their cost, putting some lean manufacturing type techniques in place that take cost out of the overall system and we've got a very effective management team that addresses this. When we do comeback which we are starting to see signs now that pre-fills will start happening later in the fourth quarter and starting to see some of that starting to bounce back. When we ramped up to full production we'll have world-class numbers in the $10 to $11 at both Piranha and Taylor. We also think that we can be better than that challenges our team to get into $859 range and what would it take to do that and in fact we have hit that in some separate months not for an entire quarter at both Piranha and Taylor.
Tommy Moll: Thank you Arty. That's all from me.
Arty Straehla: Thanks Tommy.
Operator: Your next question comes from the line of Jim Wicklund from Credit Suisse. Please go ahead.
Jim Wicklund: Good morning guys. You talked Arty about you're becoming diversified industrial company, and your transition to industrial and you notice about 64% of revenues on [indiscernible] basis in this quarter or from infrastructure. How does one actually go about changing from one type of company to another? I mean what do you guys have to do to change your SSE code or whatever so that you actually fall in benchmarks that industrial portfolio managers look at rather than just or in addition to what all those service portfolio managers are benchmarking –
Arty Straehla: Yes. Very-very interesting question on how we make that transition and Don Crist has worked extremely hard that was one of the things that we had discussed early in the second quarter and we've been working with MSCI to get that change. Our trailing 12 months you have to have revenues that are over 60% and attributed to that particular industry and we've done that and we are actively engaged in calling them. How quick that process will take will dependent on other people for that. So we don't know how expedited it will be but we are making that attempt to change our [indiscernible] code to our general industrial code to an overall industrial company.
Jim Wicklund: Well, you're my best performing also service stock for the last two years. So I really don't want to see it go. But I understand the drive. I got it. I got it. On your 25 potential deals that you're looking at, you noted that you would probably be growing your infrastructure business faster than you would be growing your oilfield service business. And so I assumed that 25 is somewhat of a mix of both. We've seen an awful lot of deals done lately, small, private companies that don't have a mass to go public on their own get acquired. Can you talk a little bit about the size and scope and probability of some of these acquisitions not what they do because you can't do that but can you talk about just what they are from a size, scope and all capability and the likelihood that something is done?
Arty Straehla: Well, it's I mean you you've been following our model as you said for a couple of years. One of the aspects we like is the vertical integration aspect of it. So we certainly do different things in that arena. We do still look at it a multitude of between oilfield services, between the infrastructure business and between the other industrials. And we really like the model that was much like Cobra where it was a very small platform acquisition that we were able to put some capital to and grow. We don't like to pay a lot of blue-sky. So that's kind of general -- we are working very hard. We've always kept a number of acquisitions. Is there anything imminent there I can talk about, no, but we are very acquisitive with the balance sheet we have, and the cash flow that we have to see in the future. We think it welds very well for adding on bulking on to our platform.
Jim Wicklund: Okay. gentlemen best of luck and thank you very much.
Arty Straehla: Thanks Jim.
Operator: Your next question comes from a line of Daniel Burke from Johnson Rice. Please go ahead.
Daniel Burke: Hey good morning guys.
Arty Straehla: Good morning Daniel.
Daniel Burke: I wanted to touch on U.S. infrastructure. Backlog looks pretty stable quarter-over-quarter but maybe just remind me you guys have about $100 million CapEx budget for infrastructure [written] large this year. What's the U.S. Puerto Rico split there and how are those dollars being deployed into the US side?
Mark Layton: You're correct Daniel. For the year we allocated approximately a $100 million to the infrastructure segment. Year-to-date we've spent just under $80 million, approximately $35 million of that $100 million is allocable to Puerto Rico. The rest is to grow the lower $48 million inside of the infrastructure segment.
Daniel Burke: Okay and that's is there a way to think about that in terms of crew counts or truck counts in terms of how much more capacity you're fielding today then say a year ago at this time?
Mark Layton: It's approximately 125 crews for the year that we'll be adding in the lower 48.
Daniel Burke: Okay. Can you give me a crew count at present?
Mark Layton: At president we've got just over a hundred distribution crews and right at 5 transmission crews that's just in the U.S. Daniel, let’s not count Puerto Rico.
Daniel Burke: All right. No, that's what I was looking for that's helpful and any, you guys have alluded to pursuing some potentially sizable awards on the U.S. infrastructure side. I mean any more clarity you can lend about the timeline to look for such awards?
Arty Straehla: We've been working at this aspect hard. We probably got about $2.2 billion right now of bids outstanding. The awards line up with the IoUs and with their CapEx and that type of thing but we have been aggressively pursuing a whole lot of bids and we think some of those will come to fruition in the near future.
Daniel Burke: Okay. Thanks Arty. And then I guess to switch gears on the pumping side, I mean the market feels like it's willing to kind of look through at this point the chopper seen out there but it looks like there's been a little bit of shuffling in your fleet. I think you guys were in the Permian earlier this year. Doesn't sound like you are right now. How are you navigating the market presently in pumping and what are the indications of demand you have looking forward to 2019?
Mark Layton: Arty and I both spent a lot of time speaking with customers. Q4 compared to Q3 we see similar utilization. On average we ran 3.5 fleets inside of Q3 implying an annualized EBITDA for those fleets about $17.7 million. As the EMP companies reload their budgets in Q1 we're seeing strong demand across multiple basins.
Arty Straehla: Daniel I'd add to that. Most of our conversations are around budget exhaustion with the customers that we've spoken to and most of them are really being pretty aggressive as we get into early parts of 2019. We think our utilization will go well beyond the 3.5 spreads as early as January.
Daniel Burke: Okay. And Mark just a point of clarity then if you're expecting similar utilization and pumping from Q3 to Q4 should we look for sort of similar adjusted EBITDA performance from that business in Q4, where do we have to lay on top of that any type of incremental pricing pressure?
Mark Layton: No. We expect to be in the same zip code for Q4 based on the visibility that we've got on the schedule today.
Daniel Burke: Okay. Fair enough. Okay. All right guys that's helpful. Thank you for your time.
Arty Straehla: Thanks Daniel.
Operator: Your next question comes from one of Jason Wangler from Imperial Capital. Please go ahead.
Jason Wangler: Hey good morning guys.
Arty Straehla: Good morning Jason.
Jason Wangler: I want to – you kind of hit on it a little bit there are more precarious and you as well Arty as you think about the spending in the 2019 and obviously no you haven't put out specific guidance but would it be fair to assume that the budget for CapEx would be relatively similar to this year and allocated in a similar fashion or should we be thinking about it in a different way?
Mark Layton: Jason, I think as we look at 2019 we're reviewing our CapEx plans, I think the one thing that we're certain about is we will stay within free cash flow in regards to allocation. I think it looks pretty similar to the split we saw in 2018. We're very interested in continuing the shift to industrial focus. So we would expect a very similar split in ‘19 as compared to ‘18.
Jason Wangler: Okay and –
Arty Straehla: And I would add to that Jason that some of the bids that we put in would require additional CapEx that if we got those. So we are interested in growing that business. That's going to continue to be and the industrialization of Mammoth is going to continue.
Jason Wangler: Sure and in kind of on that Arty but kind of differently in your prepared remarks you talked about the investment in the trucking side of it on the oil and gas side had been still pretty busy in [indiscernible] still obviously in high demand, it's not one of the things that's been slowing down. Can you talk about kind of the growth profile you see there and the intend to kind of continue investing in that business going forward?
Arty Straehla: Yes. We invested a fairly modest amount in first of all the purchase of WTL, our crude hauling. We had seen the pipeline capacity issues starting to come to fruition somewhat in Q1. We made the acquisition in Q2. We started with 20 trucks and we are – we have a total of 44 now that we continue to grow. We see very good margins and increased pricing on especially the Texas routes that we pull oil from Owens lake just outside the Permian to Gardendale that is southwest of San Antonio. So those are nice long runs of transporting crude and very profitable force. So we are actually continuing to add trained people and add people to that and we effectively had about 28 trucks running in the month of October and we continue to climb to get to that 44.
Jason Wangler: I appreciate. I'll turn it back.
Arty Straehla: Thanks Jason.
Operator: Your next question comes from line of Praveen Narra from Raymond James. Please go ahead.
Praveen Narra: Hey good morning guys. I guess, I just want to start on a follow-up for Daniel's question on the U.S. infrastructure business. Obviously a lot of bidding going on. Can you talk about how the mix is versus on time of materials versus project oriented stuff for the projects you are bidding on?
Arty Straehla: It's heavily slanted towards time and materials right now. The team is bidding a substantive amount of project-based work. Before what we've seen through the first nine months of 18 it's heavily driven by the time and materials projects.
Praveen Narra: Okay. Perfect. That's good to hear. And then I guess going back to Puerto Rico I just want to make sure I understood the answers to Tommy's question. So in terms of the cadence I guess right now it sounds like most of the crews [virtually] all the crews are doing restoration work under that contract scope. As we get into Q1 and the engineering design phase is done, will we be able to keep the same number of crews working just doing restoration up into that time and those guys can switch over to reconstruction or can you give us a kind of an idea of how much restoration work is left to be done under that contract?
Arty Straehla: There's about 15% of the island that is remaining to be energized. All of the meters are energized but there are about 15% of the lines that remain relative to the restoration piece of the project in Puerto Rico.
Praveen Narra: Okay. So I guess then in terms of the margins, 3Q margins were even excluding the bad debt reversal were phenomenal in the infrastructure business. Can you talk about how we should think about that? I guess I'd always thought of it as a mid-20s margin for Puerto Rico. Can you talk about how the margin increased so high and how we should think about that going forward to 2019?
Arty Straehla: Well, Praveen one of the things about background is that we are cost focused and we try to take cost out of any system that we're working within. We've been on the island for about a year now and you learnt how to do things more efficiently. You learnt how to take care of feeding people and housing people at a lower costs and what we when we originally went and quite honestly we do some -- we take on some more of the work that and reduce the subcontractors, some of the subcontractors that we have. So that's why you see a little bit of our margins staying relatively strong through this. We think we've always said I'll take you back to December of last year our contract was found to be in compliance and our rates were fair and reasonable and we continue to operate under that. We try to operate very-very efficiently and try to make sure that we are bringing the power back to the people of Puerto Rico.
Praveen Narra: Okay. If I could ask one clarification question on the sand one. How much of the sand in 3Q that was sold was used for internal purposes?
Arty Straehla: Internally we use round numbers about 200,000 tons internally.
Praveen Narra: Okay. Perfect. Thank you very much guys.
Arty Straehla: Thanks Praveen.
Operator: [Operator Instructions] Our next question comes from line of Taylor Zurcher from Tudor Pickering Holt. Please go ahead.
Taylor Zurcher: Hey good morning. Thanks. Most of my questions have been answered. I did just want to clarify or follow-on Praveen's question about margins in Puerto Rico and it's obviously good to see the cost structure coming down but just to clarify are the – is the cost structure they're moving forward as a headcount or fluctuates or kind of stays in the 500 to 600 range near-term? I mean the cost structure are at a point where the margin performance excluding the bad debt provision or reversal is something you can maintain at least in the near term or is that still sort of a moving target?
Arty Straehla: I think it's something we can maintain in the near term. The one caveat is that is somewhat driven by mix between transmission and distribution works. So there will be a little bit of lumpiness in that but it's not a large amount of lumpiness as we shift the distribution mix.
Taylor Zurcher: Okay great. Thanks. And then on the sand side, I guess challenges facing that segments are pretty well known. My question is just given the volume declined sequentially, a lot of your sands contracted, I’m just curious how the contracts are holding up. I mean did you see any volume pressure from the contracted piece or is that primarily weighted towards most of your spot volumes?
Arty Straehla: I think we look at Q3 as mostly weighted to the spot volumes are our contracted customers in large part pulled the volumes under contract but those were long term partnerships with our customers and they've continued to pull sand throughout Q3 and into Q4.
Taylor Zurcher: Okay and I will take one more in just borne out of curiosity in the other energy services segment EBITDA was negative but I tend to think about the growth and the crews logistics business as being a pretty accretive piece of that business and so just wondering if you can frame for us you told us that the truck count today but what sort of EBITDA or EBITDA margins that business is generating today and then from a total segments basis and what it would take for that segment realizing there's a lot of product or service lines in there and what it would take to get that segment back to EBITDA profitability moving forward?
Arty Straehla: To split the answer on that first on the crude hauling business those margins today are in the 20% range. Second part of your question, a large piece of the activity inside of the other businesses is completion related which faced some headwinds inside of Q3. We're seeing similar utilization today but getting similar feedback in those business lines as we are on the pumping and sand side the DNP companies will pick up utilization in Q1 as their budgets are reloaded.
Taylor Zurcher: Okay. Appreciate the color. Thanks.
Operator: Your next question comes from line of Dave Anderson from Barclays. Please go ahead.
Unidentified Analyst: Hey guys, this is Derek on for Dave. You talked about offsetting your oil and gas cyclicality. Are you looking at this as a function of increasing your industrial footprint or thinking about a divesting any of your oil and gas business lines or a combination of both? You can expand on that first further please.
Arty Straehla: We're always open to either being a buyer or a seller but most of it is expansion of the industrial side and moving it more and more towards being the industrial company. So we've grown to where it's about 62% of our revenues right now and will continue – it'll continue to be an important part of it. Our CapEx $98 million went to infrastructure this year. A significant amount will go next year with when as we see contracts and opportunities develop.
Unidentified Analyst: Great. And then just following up on that $17.5 million annualized EBITDA per fleet for the 3.5 if you can just expand on that further how many of those were working for Gulfport under your contracts and outside of that what's driving that strong profitability that you're seeing?
Mark Layton: We currently have one fleet under contract with Gulfport. The remainder is split. About half of those fleets are working under long term relationships with existing customers and the other half is on the spot market. These teams focused heavily on efficiencies throughout the year and you can see some of that in the data about 80% of our work inside of the pressure pumping segment was zipper fraction during Q3.
Unidentified Analyst: Okay and then what are you focusing on going through 2019 to continue to increase those efficiency? Is it coming from the surface side? Is it coming from scheduling with your operator just if you can give us some detail around that?
Mark Layton: I think the majority of the efficiencies are driven through long term relationships with the operators. We've seen that through our long-term relationship with Gulfport as well as other customers and we think that that's really the path towards long-term efficiency is working for dedicated operators and driving efficiencies throughout the system.
Arty Straehla: And to further expand on that it's a utilization game. It's how much of your fleets that you can utilize and we are seeing quite a bit of strength starting in the first quarter and where our utilization would go. We said we average 3.5 fleets active in the third quarter and we're probably looking at 3.5 to 4 as we go into the fourth quarter but we do see and our customers are telling us that to be prepared to start running again in the early first quarter.
Unidentified Analyst: Okay. And then just last follow-up just to clarify the 3.5, are your 6 fleets is that an effective 3.5 or do you have some fleets stacked on the sidelines right now?
Mark Layton: That's an effective 3.5. We've got a debt-free balance sheet and generating free cash flow. So all of our fleets are maintained and ready to go to work.
Unidentified Analyst: Great. That's it for me. Thanks guys.
Operator: Your next question comes from the line of John Daniel from Simmons. Please go ahead.
John Daniel: Guys thanks. Arty, as you continue to successfully make the transition to an industrial enterprise, does it make any sense to opportunistically part ways or at least start to consider parting ways of some of the legacy oil service businesses?
Arty Straehla: We certainly would consider it John. You certainly don't want to sell in a terrible market but yes we would consider that divesting some of our interests. We've always – we try to be thoughtful about both the balance sheet and about the positioning of the company and if the right prices came for some of our assets we would do that.
John Daniel: Okay. I guess I'm going to try to follow-up on Praveen's and Taylor's questions and see if I can get you to be specific. So let's see but I mean as we, the infrastructure is just doing great and I'm curious given how strong the margins are and what you're doing there. I think a lot of us have been using the [low] 20% from a margin perspective and I guess just in the next several quarters and I don't want to give a specific number but 30% plus you have at least comfort that you're [in that vicinity] over the next two or three quarters?
Arty Straehla: Yes.
John Daniel: Okay.
Don Crist: John it's Don. I mean, it's going to move around some as [indiscernible] it's earlier but 25% to 30%, 35% somewhere in that swing and it's going to ebb and flow and obviously as we go through and try to pull more cost out of the system we already have a helicopter today that is boosting a little bit of the margins there. If we're able to add more there or any other kind of facet of the cost structure that we're currently contracting out for now that will boost those margins. So it's going to be a moving target obviously but yes it looks pretty sustainable for now.
John Daniel: Okay. I guess the final one big picture Arty, taking back to your manufacturing days but when you look at the frac market right now what's your just big picture take on the overall after market opportunity out there and the need for it? I know you guys have a small fleet and it is well maintained but just do you think the industry has to have a step change higher next year or is it stable?
Arty Straehla: I think utilization comes back fairly strong next year and as I said John most of the commentary we get is budget resets and EMPs do not want to run outside of their budgets. They would get punished and I think the efficiencies that you've seen over time between the drilling aspect and on the frac side led to faster expenditure of their budgets. We think frac is going to be fine next year at least what we're seeing on, we don't have a large fleet to deploy but we see good utilization on our six fleets and inevitably the question always comes that what would we do going into the future about and we still obviously don't see any of the pricing there to justify adding additional fleets or anything as much as same commentary that everybody else. The point that we do want to make though is we're maintaining our fleets. We have them ready to go when the time does change. From manufacturing perspective, I think there are some opportunities there to vertically integrate some of the things that we see. We see a lot of issues. We see a lot of fluid ends. We see a lot of things that if we were fabricating again that we think we could take advantage of.
John Daniel: Okay. I guess if I can squeeze one more Arty, and I apologize for being long. But if you were to hypothetically look at ordering a fleet versus rebuilding seems like we talked a lot of the companies out there both assemblers and the providers, they frequently say, hey these fleets that were built in 2011-2012 etcetera, aren't really capable of doing the type of work that's required today. Therefore you really do need a newer fleet. Do you subscribe to that?
Arty Straehla: No. I don't because you usually rebuild the fleet through your – we expense everything. We expense our fluid ends, we expense our power ends. You keep the same trailer but virtually you change out the engine and transmission after 10,000 hours or you rebuild them. So, no you're still capable of generating the same amount of horsepower that in fact, let me give you the fact that is not discussed very much. One of the things we found because we bought a couple of, as a replacement we bought a couple of tier 4 engines and the power that you get out of tier 4 is considerably less than what we got out of tier 2 and tier 3. We're generating horsepower of about 2250 when you have a 2500 engine and transmission and it's in the 2100 on a tier 4 engine. So it's kind of obviously we have to go to tier 4 but it's one of those type of things that I still think the 2011-2012 equipment because of the way that you maintain it and rebuild it through the P&L is still viable for long term work in the frac industry.
John Daniel: Okay. Great. That’s all I was looking for. Thank you sir.
Operator: Your next question comes from one of Praveen Narra from Raymond James. Please go ahead.
Praveen Narra: Hey, thanks very much for pulling me back. I just wanted to follow-up again on the Puerto Rico margin. Maybe it helps understand it. If we think about the costs in Puerto Rico can you get a break out how much of that is just headcount oriented versus I know it's not really fixed but I guess more infrastructure fixed costs in the country or island?
Mark Layton: Yes. The overwhelming majority of the cost in Puerto Rico is labor related. There's some housing inside of that but the majority of the cost in Puerto Rico is labor related.
Don Crist: I mean Praveen this is Don. I mean just if you think about the guys who are from the U.S. that are rotating down there they're all staying in hotels. They're all getting per diem per day. There's – PREPA is supplying all the materials for the most part. So other than some tools there is, it’s really labor related.
Arty Straehla: Well, some of it’s the subcontractors as well, although we've done a lot to reduce our subcontracts reliance and we're still relying on helicopters for the transmission work. We own one. We started Cobra Aviation earlier in the year and we do own one of the six that are working out there right now. So those are still high cost basis items.
Praveen Narra: Thank you.
Operator: I see no further questions at the time. I will now turn the conference back over to Mr. Arty Straehla. Please go ahead.
Arty Straehla: We want to thank everyone for dialing in today during this very busy time. I want to personally thank our team without the hard work performed by each of you Mammoth would not be what it is today. In particular I want to thank our infrastructure teams who have shown the utmost professionalism while working a very challenging environment, have answered the call when natural disasters have occurred. The future is bright for Mammoth and our roughly 2200 team members as our unlevered balance sheet will allow us to continue to grow and deliver shareholder value appreciation in the years to come. Thanking to our shareholders for your support and interest in our company. We look forward to seeing many of you at our upcoming conference appearances and speaking with you again in February when we release our full-year earnings. This concludes our third quarter conference call. Good day.
Operator: Ladies and gentlemen this concludes today's conference. Thank you for your participation and have a wonderful day. You may all disconnect.